Margarita Chun: [Abrupt Start] [Operator Instructions] Before proceeding please read the disclaimer that is located in the second page of our presentation. Let me mention that forward-looking statements are based on the beliefs and assumptions of Pampa Energía’s management and on information currently available to the company. They involve risks, uncertainties, and assumptions because they relate to future events and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions, and other operating factors could also affect the future results of Pampa Energía and could cause results to differ materially from those expressed in such forward-looking statements. Now, I'll turn the videoconference over to Lida Wang, our Investor Relations and Sustainability Officer of Pampa Energía. Lida, you may begin the videoconference.
Lida Wang: Thank you, Margarita. Hello, everyone, and thank you for joining our conference call. I hope you all are safe and well. For the interest of time, I will make a brief summary of the quarter's key figures, the impact of COVID-19 and the latest events since our last call. We will focus on power and E&P, as TGS and Edenor already held their calls earlier this week. Our CEO, Gustavo Mariani and CFO, Gabriel Cohen are both here and joining us for Q&A. Before we begin, let me remind you that Pampa’s figures follow U.S. Dollar as functional currency. In the case of Peso-linked subsidiaries such as our utilities, their figures are adjusted by inflation and shown in dollars at the end of each reporting period FX. So you also can see in this slide which businesses are included when we talk about of Pampa consolidated and Pampa restricted group, a definition we use for covenant purposes. Compared to last quarter Q3 has not been so active, as the lockdown is easing up and the economy rebounded, readily improving but still not back to pre-COVID-19 levels. During Q3 the Argentine economy is estimated to have fallen by around 11% year-on-year, better than 19% recorded in Q2. We expect the normalization keep coming along, as the country is entering into a more flexible quarantine phase. Pampa achieved robust figures this quarter, as a result of higher pricing due to winter peak season, solid operational performance across all our businesses and the contribution from our new CCGT at Genelba, which is building a 15-year PPA. Because of uncertain environment at upstream, combination of expansionary investment cycle at power generation, OpEx discipline and higher sales, our operating cash flow boosted during Q3, 2020. Helping to keep buybacks and offset the payment delays from CAMMESA experienced in the quarter. And finally, a few weeks ago the government announced a new gas incentive scheme to foster investments for domestic production, although, the initial -- the official regulation has not been released yet. Beforehand, we believe this should be created to our upstream product business. So let's start commenting the quarter's key takeaways. As shown on slide five revenues increased 5% year-on-year to $689 million, mainly contributed by Genelba’s new PPA and because of the strong real devaluation in Q3 last year, affecting our utility businesses. Partially offset by lower fuel self-supply as CAMMESA took over most of the grid fuel consumption lower prices and volumes of oil and gas fall and lever spot prices and dispatch. In Q3 2020, around 45% of our sales were dollar-linked but roughly 50% in EBITDA -- 70% in EBITDA terms, mainly coming from our core businesses PPA, power capacity followed by E&P. Adjusted EBITDA, maintained stable by only reducing 3% year-on-year, amounting to $234 million for the quarter, mainly explained by lower E&P price and volume, tariff free and builders and lesser legacy of power generation. Partially offset by Genelba PPA, lower E&P OpEx and royalties related to activity downturn and the evolution of the Peso-denominated cost because of depreciation. Quarter-on-quarter EBITDA almost doubled, thanks to the Genelba’s CCGT PPA. The big season having higher spot prices for power and gas and increased sales at Edenor. As we show on right below electricity takes 71% of the consolidated adjusted EBITDA, mostly led by power generation while oil and gas exposure hedged 29% driven by gas and TGS. Moreover, as shown in the chart left below in the third quarter of this year our CapEx decreased significantly compared to last year, mainly because of drilling and completion activities at E&P are on standby due to the uncertain pricing environment, compared to the shale activities in Q3 last year. And also, because we finished Genelba Plus expansion project. Edenor's CapEx increased year-on-year due to the steep real devaluation in Q3 2019 partially offset by the lot on restrictions, tariff freeze and higher bad debt impacting Edenor's CapEx. On slide 7, during Q3, the lockdown effect diluted over the Argentine power grid, thanks to the winter season. The average demand reached 15 gigawatts, 2% to 3% lower than previous years, but better than other sectors of the Energia industry or GDP. Industries are still the most impacted by quarantine, especially non-essential. While this goes were hit because of the collative SME consumption, but partially offset by residential demand due to the stay at home order and colder water weather, as we are entering screen, electricity demand is expected to give in. Moving to Power Generation segment as seen on slide 7, during the third quarter of 2020, we posted an EBITDA of $132 million, very similar to the adjusted EBITDA of Q3 last year. Mainly given by Genelba CCGT contribution, higher B2B renewal sales as well as lower costs related to lower energy purchases and the deval impact on our peso denominated expenses. These effects were partially offset mainly by the reduction anticipation of spot prices as from February 2020 without any inflation adjustment. Quarter-on-quarter peak pricing for spot energy and higher dispatch in Q3 2020 contributed to the 49% increase in EBITDA. While spot energy comprises 59% of our capacity operated only 18% of our power generation EBITDA represented by spot market in the quarter and will keep shrinking one Ensenada Raban expansion is online and inflation keeps not happening. Generation in Q3 2020 was 3% lower year-on-year in line with the lower electricity demand in the national grid. Our free combined cycles at Loma and Genelba as well as our wind farms achieved high levels of low factor but the thermal units that solely depend on gas such as Energia the northwestern units were mostly not required in addition to lower generation of our hydro units. Because of the winter and hence reduced gas supply for power generation, our efficient dual fuel units of Popular and Energia white were highly requested. Quarter-on-quarter power generation raised by 16%, mainly because of the seasonality. Despite the demand contraction weakness in the country, the power generation business model relies on capacity payments. So, lower dispatch does not much impact on the revenue making as long as the availability is outstanding especially for PPA-based energy. The availability rate in Q3 2020 reached 98.6% with a full capacity of five gigawatts operated by Pampa very similar to year-on-year and quarter-on-quarter performance. Regarding our remaining expansions in the pipeline, our key project now is the closing to CCGT at Genelba thermal power plant. As you can see on slide eight, this is a 280-megawatt CCGT project at the South of Greater Buenos Aires which is critical infrastructure for Argentina. We've already placed the different chain server order for the cooling tower. So currently we are working on cementing its foundation base. We are also finishing the turbines building installing the main time lines and prepaying all remaining equipment. 250 people are right now at the site working at the strictest protocols in place to minimize circulation of COVID. Natural gas consumption rebounded as expected because of the winter. But domestic production is severally depleting due to weak investment landscape that began about year and a half ago. The graph we see in the slide shows the evolution of production and the dependency on gas imports and liquids to fulfill the demand which are more inefficient and paid with our currency way more expensive than local gas, et cetera. As domestic production increase, import reliance fell until 2020. In Q3, the production fell 10% year-on-year coloring demand deficit liquid fuels as LNG and Bolivian gas were taken at maximum capacity. Should this situation prevail depletion will come along and the country will need to restore the LNG facility that was dismissed in 2018 plus increase liquids product consumption all in detriment of reserves subsidies and GDP. However, the implementation of plant gas four should be soon and reverse this trend.  So moving on to the results of E&P as you can see on slide 10. In Q3 2020, we posted an adjusted EBITDA of $36 million, 31% lower than the Q3 2019, mainly because of lower prices and to a less extent production volume partially offset by lesser cost and royalty.  In terms of operating efficiency, we recorded $23 million of listing costs, 44% improvement compared to Q3 last year mainly driven by the valuation efficiency and lower activity at less competitive lots given the current market prices. Measured by unit, we reached a lift in cost of $5.50 per BOE produced contributed by the outstanding productivity at El Mangrullo block. So we become more active as we did this quarter? Listing costs may go higher, but most of the savings are efficiencies gains -- gained to this segment.  Despite the tough environment, our oil and gas production decreased only 6% year-on-year, but increased 7% quarter-on-quarter in Q3 2020. Reaching 47,000 barrels of oil equivalent per day of which 91% is composed by natural gas. The quarter-on-quarter rebound is explained by seasonality.  On the oil side which represented almost 20% of our segment revenue in the quarter. Volumes saw decreased 11% year-on-year to 4.2 barrels per day mainly due to the decline in demand and prices because of the lockdown resulting in activity standby, partially offset by conventional production from Chirete, which last month was granted to Pampa, Hila a 25-year exploitation concession Rio Limay Este. During Q3 2020, crude oil prices decreased by 18% year-on-year reaching to $40 per barrel bouncing back from the fall caused by COVID-19 in Q2. Despite domestic demand collapsed due to the lockdown Pampa was able to explore almost 75% of its production at discounted price on rent. 53% of our oil production is Escalante heavy oil which is sweet and given the current green fuel trend is pricing premium. However, last September, local market started to recover and we resumed sales.  Regarding gas, as we can see in slide 11. Q3 '20 reached an average of 264 million cubic feet per day of volumes sold, 15% lower year-on-year. Mainly due to lower trading and to a lesser extent 5% inter annual decrease on production. Compared to last quarter volumes sold recovered 4% as a production raise to attend winter demand despite challenging prices.  Lower pricing impact negatively on the breakeven equation thus producers respond with a lesser drilling rate and higher depletion takes place. And because of that production was lower at our gas bearing blocks, but were partially offset by increases at El Mangrullo block with outstanding productivity fully owned and operated by us.  In Q3 '20, El Mangrullo reached 174 million cubic feet per day of gas production, 14% higher than Q3 2019 and contributed close to 70% of our overall gas. Ranked the four largest gas-producing block at Neuquina basin. Moreover, 6% of our production was shale gas from the completion of two horizontal wells at El Mangrullo Block last year. As we are not connecting more wells shale production will keep deluded. During Q3 2020 our average price of gas was $2.50 per million BTU. 25% less than Q3 2019 driven by the sharp reduction on CAMMESA winter reference price for gas higher at power plants also affecting the industrial and stock prices. Though CAMMESA prices during Q3 '20 were around 2.5% reflecting the high demand business due to the winter season, since October with the spring season prices are roughly $2 less, back again to the lowest in year and barely covering the replacement costs impacting that investment horizon. Also as you can see right below our production year today it is skewed towards CAMMESA for placing an increase of -- for vertical integration as we've been procuring owned gas for Genelba Plus dispatch, rising from the last call's 14% sell share to 22% sell share. The exports to Chile ended on mid-May and we are awaiting Secretary of Energy’s clearance to resume. Due to primarily uncertainty in gas prices, we reassess our activities with no drilling and completion registered in Q3 '20 in line with the sector.  Moving on the bottom line of the P&L, Pampa reported a consolidated gain of $78 million in the third quarter of 2020, whereas in the same period of 2019, a $116 million was reported mainly explained by Edenor and power legacy credit liability realization agreement and lower operating in oil and gas -- operating margin in oil and gas partially offset by higher profits in our equity income. Finally we are on the Slide 13, our sound balance sheet brings us some degrees of freedom during this challenging environment. In this slide we show the layers of the company from restricted to consolidated figures. But for covenant purposes, let's focus on the restricted group. That is primarily Pampa parent company. We continue optimizing every asset of our investments, highlighting that during Q3 2020 Pampa engaged in all peso incremental borrowings of $64 million including deval effect. We also repurchased bonds for $34 million in value. Therefore the restrictive group gross debt recorded $1.6 billion in September similar to last year.  The gross debt is 87% denominating in U.S. dollars which was at 89% in June 2020 bearing an average interest rate of 7.7%. Average life decreased from 5.3 years to 4.9 years, the cash amounted to $352 million which is 11% lower than the $393 million in June 2020, mainly due to buybacks and deterioration of the working capital as DSO reached to 92-days combined with higher billings, offset by positive operating cash flow and net peso borrowing. The restricted groups net debt remained similar to last quarter below $1.3 billion and net leverage ratio stayed at 2.8 times. After Q3 we paid a maturity $23 million of peso debt in addition to $8 million of face value bond buyback and some share buybacks. It is worth highlighting that the cumulative maturities from now until 2022 included amount to $249 million of which 92% is denominated in pesos. Pampa consolidated with affiliates recorded a net debt of $1.5 billion, 2 times net leverage ratio similar to last year. After Q3 Edenor paid the last amortization of $13 million but redeemed $130 million of debt securities and amended its amortization schedule, which once approved will ease its maturity profile for the next two years. Regarding share buyback. Next month we are holding our shareholders meeting to ask to cancel treasury shares up to $6.4 million ADRs. As of today, we hold $5.6 million ADRs in treasury thus our outstanding capital amounts to $58.2 million ADRs. Also the Board approved a new program for up to $30 million which -- with a price cap of $12 per ADR. So this concludes my presentation. We are going back to Margarita. So we can pass all our Q&A. Please gather through the platform. This is the gain that we have from COVID. We can do it all in line. 
A - Margarita Chun: Thank you, Lida. Thank you for waiting. The floor is now open for questions. If you have a question, you can send through the platform. [Operator Instructions]
Ricardo Rezende: Okay.
Margarita Chun: All right. Here we are. The first question is coming from Ricardo Rezende from JPMorgan. Hi, Ricardo.
Ricardo Rezende: On the buyback shares and debt during Q3 and that continues on the current quarter. What should we think about capital allocation in the current quarter? 
Gustavo Mariani: Hi, Ricardo. Going forward, we plan to continue with share repurchases, as long as the share price drops below the limit that we said in the last repurchase program that was $12 per ADR. So that's the basic part of the answer.
Gabriel Cohen: On the micro term -- very much -- now I feel myself…
Margarita Chun: Gustavo go ahead [ph].
Gustavo Mariani: Okay. On the micro term as long as Pampa continues producing free cash flow, as it has been doing and we plan to continue doing. And we don't see other opportunities to deploy cash and our debt levels are in order and conservative and we feel comfortable about that. We like to continue with the share repurchases and eventually with bond buybacks always depending on the market price and the situation, monitoring the cash flow generation of the company as we see the in the near future.
Margarita Chun: Our next question comes from Mary Remi [ph]. The first question is about the Plan Gas. Could you give us more color on Plan Gas and the role of Pampa that we play maybe the timing prices in detail?
Gustavo Mariani: I think as Lida explained, the details have not been officially published. So we are waiting for those details. There's been several conversations with the industry, with the government officials that give us an idea of what will be published. So what is in the media is more or less the same that we know. Price around $3.50 for the production. In order to participate you need to at least commit to produce as much gas as you were producing in the first semester or in the first quarter of this year. We expect it to come out any time now. I think now it's a matter of weeks before it is published. As you know the President announced the program about a month ago. So we think now they have also mentioned that it should be -- we will start to collect the new price in December. So that in the auction will be doing in the following weeks before December. So that's why we expect to be imminent the publishing of the new plan gas. And what it means for Pampa is basically going back to last year production levels so around 7.5 million cubic meters of natural gas per day in average. The plan will also contemplate an incentive for winter gas that we are evaluating, but we don't know whether we will use that opportunity or not. So what we are thinking now is basically to go back to the production of last year that is slightly higher than what the plant will require from us. And basically developing in El Mangrullo block tight gas at the Mangrullo block which is our most efficient basin area that we have in the Neuquén basin and probably some wells as well in Sierra Chata, which are the two -- those two are operated by Pampa and an increase of production also in Río Neuquén which is operated by YPF and where we have one-third YPF and Petrobras being our partners. But most of our increase in production will come from the El Mangrullo and Sierra Chata. Anything else to add? 
Margarita Chun: Okay. Our next question comes from Paulo Bilezikjian [ph]. Why was our stock not just that, given the result?
Gabriel Cohen: Hello. Gabriel Cohen speaking. As we -- Gustavo was mentioned before and it's a recurrent question in previous calls, we are buying both bonds and equity and that's creating both at some extent it becomes judgmental. And basically what we are highlighting is that we are still generating positive cash flows. And that's why we keep doing both things.
Margarita Chun: Our next comes from Bruno Montanari from Morgan Stanley. The first question is about is it encouraging to see positive cash flows but at the expense of very low CapEx including zero in upstream. I was wondering how long this low CapEx environment is sustainable without affecting the integrity of the reservoirs in upstream.
Gabriel Cohen: I'm not an expert in reservoirs. And unfortunately Ricardo Torres is not here. Maybe Lida can give more light. I don't think this can be maintained for a long time despite the integrity of the reservoir, we don't require much CapEx in order to take good care of the integrity of the reservoir. CapEx has been extremely low because we have not been drilling or completing any wells which we hope we will resume very soon actually if Plan Gas is published we will assume with that as soon as probably December. And that will also include maintenance of the reservoir. Lida I don't know if anything else to add? 
Lida Wang: Yes. So basically, we are -- this year in only maintenance. The maturity of the reservoir are reserved, but nothing like drilling and completing, this year the maintenance CapEx is around $30 million to $35 million. Should we have nominal at all, which is not what is expected with the Plan Gas. It should be the same for next year. But if Plan Gas happens, the CapEx rebounds significantly than we -- in order to maintain the production that we achieved this year, we expect to -- instead of diverting $35 million this -- next year to $100 million. The second question?
Margarita Chun: Yes. The second question from Bruno is about the option costs, which have declined substantially. Should we expect them to increase back to more normal levels as the company increase at it level? What is the more normalized leasing cost levels for the company?
Lida Wang: It's a very good question. I don't think it's going to go lower than what we saw. What we -- the lowest was Q2 and Q2 was quite paralyzed, but we still deliver, we still produced. We didn't give a much in Q3, of course, because of the winter we recover, but I don't see much more efficiency to be gained, especially because this year has been a very strange here. Salaries, wages only increased by inflation or little this and that and the valuation was paid this year. So next year we could expect inflation in dollar for example.
Margarita Chun: Our next question comes from Daniel Guardiola from BTG. The first question is about the cash. What portion of your total cash is denominated in pesos and in dollars? Gabi would you like to answer the questions?
Gabriel Cohen: Yes, hello. In respect of our break down, it's essentially three-quarters dollar or dollar liquated and one-quarter is direct business.
Margarita Chun: Thank you. Our second question from Daniel, it's about the Plan Gas that was mostly explained by Lida. But the additional question he's asking is, will this plan cover 100% of their production or only 70% as initially mentioned?
Gustavo Mariani: The government is going to auction 70 million -- a block 70 million cubic meters of natural gas per day, which will be both by CAMMESA and by the distribution companies. But the producer has its obliged to produce another. So the industry as a whole or those who participate in the auction and supply and the contracts of the 70 million block are obliged to produce another 30 million in order to -- like I said in order to supply basically the industry, which is the free market portion of the business of the market. So those who participate in the auction will be producing in total 100 million cubic meters of natural gas per day. 70% of that will be under contract with CAMMESA and the distribution companies, and 30% we will have to sell it to the industry.
Margarita Chun: Thank you. Our next final question from Daniel Guardiola is related to the risk to the PPA. What is the current situation? And what color can you share with us from your conversation with the government?
Gustavo Mariani: Regarding PPAs? There are no conversations at all with the government regarding PPAs. And so I think that is a short answer to the question. Again, we as we have always been saying, I think that government understands how important it is to maintain the rules, keep those contracts without any renegotiation, which is something that we share as well. Doing that, we have significant impact in the medium and long term. So the government understands that and tries to avoid any -- even any discussion with the industry regarding the PPAs. Obviously that is as long as the macroeconomic situation remains under in a controlled situation. If macro conditions deteriorate significantly, so we will be in another ballgame. But as long as obviously for Argentine standards things are under control. We do not expect any change on the PPAs.
Margarita Chun: Thank you, Gus. Our next question is the follow-up question of the here is about are you considering to divest asset or de-risk exposure from some gas generating? 
Gustavo Mariani: No, no, no, no. We are not studying any divestiture in divestment in an innovation.
Margarita Chun: The last question from Daniel Abiola is about the existing transportation capacity from Neuquén to Buenos Aires if that is started to fully satisfy gas demand. Any stuff on the much expected highlight? 
Gustavo Mariani: Sorry can you repeat the question? 
Margarita Chun: Yes. So the question is about the current transportation capacity from Neuquén to Buenos Aires and the less transportation expansion that is under evaluation for results?
Gustavo Mariani: Okay. The transportation capacity from Neuquén to Buenos Aires was almost at full capacity on the previous winter the winter of 2019. The evacuation capacity of the Neuquina Basin was at full. As Lida explained during his -- her speech this year because the industry has not been drilling or connecting new wells, production has fallen significantly. And from the Neuquina Basin, it has fallen close to 50 million cubic meters of natural gas per day in the winter of 2020 vis-à-vis the winter of 2019. So that is -- there is spare capacity in the pipeline from Neuquén to Buenos Aires, which the government is aiming to fulfill with this new Plan Gas. I'm not that optimistic that it will be fully fulfilled in 2021, but probably in the following years hopefully the capacity will be fulfilled. Regarding the pipeline from -- the new pipeline from the literal pipeline or the new pipeline from the Neuquén Basin to Buenos Aires. Unfortunately in the current financial conditions, that is a project -- it’s a $2 billion project that is unthinkable at this moment. So first Argentina need to focus in tackling the economic situation normalize and put the yields on the sovereign bonds on reasonable levels before a project of that magnitude is feasible in the country. So, I think that unfortunately, we will have to wait until that happens.
Margarita Chun: Thank you, Gustavo. Our next question comes from Alejandro Demichelis and it's about the E&P business that already -- it was already explained by Lida. Could you please indicate Plan Gas for drilling CapEx and production in the oil and gas platform next year? What are -- that is the first question. 
Lida Wang: Yes. So it's -- again, next year, if nothing happens -- it's basically what we've been doing this year. If nothing happens is what we've been doing this year. It's basically $35 million of CapEx. It's maintenance of infrastructure, facilities infrastructure. If not if Plan Gas happens and we expect to do -- expect so, it's -- instead of $35 million, around $100 million just to maintain the production and going a little bit higher than this year.
Margarita Chun: Thank you, Lida. And the second question from Alejandro Demichelis It’s about the electricity tariffs. What are the expectations for electricity tariff increases for next year and payments from CAMMESA?
Gustavo Mariani: We expect that -- that for -- in the case of the PPAs, they are dollar based. And in the case of all energy -- spot energy, it's under -- what we call Resolution 31, that when it was published in February of this year, it was published with a monthly inflation adjustment, which unfortunately -- it didn't last not even one month. So before the first month, it was concurrent with the explosion of the COVID crisis in Argentina and the lockdown and a tremendous moment for the world economy and for Argentina as the economy is even more. So it was not put in place. And the Secretary of Energy instructed CAMMESA to suspend the application of the monthly increase until a new notice. In the past, we will live in a high inflation environment. Probably we will be this year in the neighborhood up 35% to 40% inflation. So, the industry is beginning to suffer that adjustment in our cost. So the industry will soon begin to -- the industry needs to -- the inflation adjustment to be put in place very soon. So, otherwise, the availability of the system deteriorates. And at the end, that is most costly for the system than doing the proper maintenance. So, we expect that next year, they will resume with inflation adjustment in some way. I cannot give you nor assurance on the magnitude or in the timing. But I think that, it is needed. The industry is needing that already, and if you can -- hopefully soon. 
Margarita Chun: Thank you, Lida. There are another question from Mathias Saracino. It’s about thecash disclosure in U.S. dollar. Argentine peso already answered. There was another question from Mariel Fabro [ph]about the bond buyback and share buyback already answered. Another question from Andrés Cardona regarding the tariff increases which was also answered. And there was another question from Matías Wesenack from AR Partners. More color of the EMP business which was also answered. And from Alejandra Andrade from JPMorgan about the CapEx from E&P business and the cash disclosure in U.S. dollar, but already answered. So, let's move to the question of Mariel Fabro. Does the restricted group liquidity include the repurchase Pampa bonds?
Lida Wang: Hi, Mariel. The restricted group liquidity does not include the repurchase Pampa bonds. Pampa bonds are offset for debt, okay? So, if you see our financial statements and our debt profile for example in the 23 bonds, we are really reducing by the share of face value that we already bought back.
Margarita Chun: Thank you, Lida. Our next question was from Andrés Cardona from Citibank. When do you expect final resolution for Plan Gas we are also waiting for it. Has something changed since Mr. Fernandez did the announcement and [Indiscernible]?
Lida Wang: Hi, Andrés. So I did have seen some changes since last week. So last week they say it was three years plus one. And now we gather to know that it's going to be finally four years GSA -- Gas Supply Agreement. Compared to the last draft they also add some kind of like commitments -- CapEx commitment and that will be reviewed from time to time by a committee composed by their different stakeholders. And the price is 3.7. They didn't changed that 3.7 million for Neuquina. But pretty much it. It's basically -- and then they said about -- something about access to official tax, but that's -- we need more clarification from the CV right? Regarding the fiscal credits tax credits that in case that we are not pay -- we can use them. We also need more clarification and final clearance from the Argentine IRs. So basically in summary instead of three years plus one, its four. Offshore which is not our case, but offshore instead of three plus five, it's four plus four. Price has been ratified 3.7 nominal and there's -- we need to do a CapEx commitment. 
Margarita Chun: Thank you, Lida. Our next question comes from Ann Mule. 
Unidentified Analyst: Good morning. Could you comment on how you will address short-term debt either repaid or refinanced in local markets? And follow-up on this. That is the first question. 
Gabriel Cohen: Yes. Hello. Well as you know most of our short-term debt is basically nominated the local market is quite liquid. So we feel pretty confident that we can either refinance, either with banks or with the local capital markets or we can also manage our liquidity depending on how we see rates and we may also cancel and we borrow. So we feel quite confident about our -- basically all our cash position back our short-term debt. So our bonds are quite in the medium and long-term. So that's first part of the question and I think there is something else right? 
Unidentified Analyst: Yes. There seems to be some positive developments on the cognitive 50:44 [Indiscernible] in recent days. How do you see FX restrictions going forward?
Gabriel Cohen: Well it's just a personal opinion, but I would expect that as long as macroeconomic variables start to recover and get some equilibrium I would expect at some point to be relief in those restrictions. Although I don't see in the short-term any relevant lifting of all those restrictions. I think we will be still living and running our business with those restrictions. Maybe we would expect at some point that there will be more relief. But I think it will depend clearly on how the economy develops and IMF. And basically it's the whole environment. Yes, clearly the reserves, but that's what I was thinking about in macro stability. Clearly we need to recover reserves and we -- basically we need is that the country needs to start going again at some pace. I think that's the basic signal that we need in order to expect a relief in those restrictions.
Margarita Chun: Thank you, Gabriel. Our next question comes from Alejandra Andrade. Could you give us more color on the evolution of the negotiations with the government regarding the tariffs?
Gabriel Cohen: Sorry. Sorry, I was muted. They are -- I cannot say that there are negotiations. Well there has been -- regarding electricity tariff that consumers pay, the government has been in the last few weeks through several speakers, some of them from the Ministry of Economy some of them -- somebody like the Secretary of Energy himself mentioned that the pricing of tariff is about to end at the end of the year. I think that is completely in line with the fiscal needs of the country. They perfectly understand that maintaining the freeze of tariff means higher fiscal deficit through subsidies to the industry or to the consumer. And that is something that especially in order to agree with the IMF they need to tackle. So they are not discussions with the industry, but they are aware that they need to move forward in order to tackle the macroeconomic issues of Argentina.
-- :
Margarita Chun: Thank you, Gab. Thank you, Gus. Please hold while we poll for questions. Our next question comes from Andres Cardona from CitiBank. What is your view on spot prices for gas, on the Plan Gas is completed?
Gustavo Mariani: Okay. I think that the spot prices -- spot prices meaning, what we -- what the producer sells to the industry. I think they will converge. Today they are much lower in line what CAMMESA is paying for gas. But I think that everything will come -- every price of gas in Argentina will in a way converge towards the price of the auction of the Plan Gas. That is -- so I think, it will be in the $3.50 per million BTU areas, that is our expectation.
Margarita Chun: Our next question comes from -- please wait for a second -- our next question is coming from Alejandro Gargollo [ph]. Hello. My name is Alejandro Gargollo, I would like to know, if you are going to distribute dividend?
Lida Wang: Hi Alejandro, how are you? We do not have a policy of distribution of dividends that we do. But so far for many years we haven't distributed any dividends. But we are buying back our shares. So it's a form of dividend.
Margarita Chun: Thank you, Alejandro. Our next question comes from Andrés Engler. Does the company plan to take that from the Argentine market? Very good, Andrés.
Gabriel Cohen: Hello. Yes as we pointed out before, yes, it's within our plans. And the market is quite equal both on bank side and on the local capital market side. So clearly it's our first funding alternative.
A - Margarita Chun: Thank you. [Operator Instructions] So this concludes the question-and-answer session. I'll turn to Lida for final remark.
Lida Wang: Okay. Okay. Thank you so much. Okay everybody, thank you so much, for joining our call. Sorry for a little bit of intervenes. We change providers, now it's Zoom. But I hope it was helpful. We are going to cut our call. Any question that has not been answered, please just contact us. For the interest of time we wanted to make it one hour. But anything you may need just contact us, we are always more than available for you. I hope you have a good day. And have a nice weekend.
Margarita Chun: So this concludes today's presentation. Thank you for joining. You may disconnect at this time. Goodbye.